Operator: Thank you for standing by and welcome to the Q3 JinkoSolar 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Thursday, November 19, 2015. I’d now like to hand the conference over to your host today Mr. Sebastian Liu. Please go ahead sir.
Sebastian Liu: Thank you, operator. Thank you, everyone, for joining us today for JinkoSolar's third quarter 2015 earnings conference call. The Company's results were released earlier today and available on the Company's IR Web site at www.jinkosolar.com, as well as on the newswire services. We have also provided a supplemental presentation for today's earnings call, which can also be found on IR's Web site. On the call today from JinkoSolar are Mr. Chen Kangping, Chief Executive Officer; Mr. Arturo Herrero, Chief Strategy Officer; and Mr. Cao Haiyun, Chief Financial Officer. Mr. Chen will discuss JinkoSolar's business operations and Company’s highlights, followed by Mr. Herrero, who will talk about Company's business strategies. And then, Mr. Cao will go through the financials and guidance. They will all be available to answer your questions during the Q&A session that follows. Please note that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding these and other risks is included in Jinko's public filings with Securities and Exchange Commission. JinkoSolar does not assume any obligation to update any forward-looking statements except as required under applicable law. Please be noted that to supplement its consolidated financial results presented in accordance with United States Generally Accepted Accounting Principles or GAAP, JinkoSolar uses certain non-GAAP financial measures. The company believes that the use of non-GAAP information is useful for analysts and investors to evaluate JinkoSolar's current and future performances based on the more meaningful comparison of net income and diluted net income per ADS when compared with its peers and historical results from prior period. These measures are not intended or represent or substitute numbers as measured under GAAP. The submission of non-GAAP numbers is voluntary and should be reviewed together with GAAP results. It is now my pleasure to introduce Mr. Chen Kangping, CEO of JinkoSolar. Mr. Chen will speak in Mandarin, and I will translate his comments into English. Please go ahead, Mr. Chen.
Kangping Chen: Thank you, Sebastian. Good morning and good evening to everyone, and thank you for joining us today. I’m excited to report another strong quarter as our business gained considerable growth momentum. Total revenues during the third quarter reached $637.6 million, representing an increase of 58.2% over the same period in 2014 and 26.6% sequentially. Module shipments to the third parties reached a record high of 1,064 megawatt, which once again exceeded the high-end of our third-party shipment guidance. With demand for our high-quality solar products increasing, we are raising our full-year 2015 third-party module shipment guidance for the second time this year from the current 3.4 to 3.7 gigawatt to 3.8 to 4 gigawatt. Earlier this year, we strategically plan for a surge in global demand during the second half of the year by preemptively increasing inventory levels. This strategic decision was made based on our assessment of what demand would be in key solar market as well as the visibility our customer and partners sharing with us. This strategy is now paying off and it not only provides us with flexibility to balance the shipments between third-party customers and JinkoPower, but also give us a good visibility on next year's orders. During the third quarter, electricity output reached 234 GWh, up 15.1% sequentially. Electricity revenues generated RMB206 million, a 121 megawatts of projects were connected to the grid during the quarter which brings our total capacity of connected projects to 846 megawatt. This leaves us right on track to meet our 600 to 800 megawatt target for the year. Higher margin downstream business increasingly generates a larger share of our revenues and profits as it develops in size and scale. The rapid growth of our downstream business is supported by diversified financing channels. JinkoPower recently signed an RMB10 billion strategic credit agreement with Industrial and Commercial Bank of China, the largest commercial bank in China. This new line of credit will be used to provide us with working capital, as well as bridge and project loans for future project development. A huge vote of confidence in our future is in addition to existing close relationship we have with several policy and commercial banks such as China Development Bank, Export-Import Bank of China, Ping An Bank, and the Minsheng Bank. We are closely managing each relationship to ensure that we allocate the capital in most efficient manner and generate a long-term return for our shareholders. Strong demand and government support has created many new opportunities globally. In China, the possibility that the government 13th Five-Year Plan listing to 115 gigawatts total solar installation target, but increased annual solar demand to 20 gigawatts or more. In the U.S., we continued to expand our market share and are now among top three module suppliers there. Aside from rush orders due to ITC uncertainties, demand from rooftop project in the U.S are growing rapidly and we expect it to grow larger than the utilities scale market as more regions reach grid parity on with euro side. Shipments to the Asia Pacific regions were 145% sequentially on the back of the strong orders from Japan and Thailand. Demand in India also increased as a result of government [indiscernible] 2020 installation target and increasing demand for power, were shipment to Europe remains steady, but soft, our deep relationship with European EPCs has opened doors to new project in emerging markets such as Chile, South Africa, and in Mexico where shipments surge 211% sequentially. On the technology front, we steadily increased the capacity of passivated emitter rear cell or PERC production line, as well as expanded our new double-glass module production lines. In the U.S., we work with optimizer companies to provide customers with products, with higher yield and better performance. On the cost side, we maintain our industry leading position by further cutting non-silicon costs. To conclude, this quarter’s performance along with what we expect will be a strong fourth quarter, leave me very confident in our ability to deliver a strong year-end and further grow our business. With a large and geographic [technical difficulty] customer base, industry-leading technology, long-lasting relationship with financial institutions and new growth drivers, we are building a foundation for sustainable growth in years to come and delivering long-term return to our shareholders. As for the guidance for the fourth quarter of 2015, the Company estimate total solar module shipment to be in the range of 1.5 gigawatts to 1.7 gigawatts, which includes 1.2 gigawatts to 1.4 gigawatts module shipment to third parties. For the full-year 2015, the Company updated the guidance of the total solar module shipment to 4.2 gigawatt to 4.5 gigawatts, which includes 3.8 gigawatts to 4 gigawatts module shipment to third-party, the Company expect that grid-connect solar power project with a total capacity of 600 megawatts to 800 megawatts in 2015. Arturo Herrero, our Chief Strategy Officer will now discuss our major achievements in sales and marketing for the third quarter in further detail, as well as our strategy and the market outlook for the fourth quarter of 2015 in key countries and regions.
Arturo Herrero: Thank you, Mr. Chen. We are glad to report another strong quarter of good results. What’s more important is that we’ve good visibility for the next coming quarters, which give us confidence that in the coming quarter and year ahead will be strong in terms of JinkoSolar sales. All of our production capacity has been booked for 2015, but also for 2016 we’ve already big portion of our production capacity committed in to firm contracts. We are seeing currently that despite the decrease of demand in European countries, many other important countries are increasing significantly, the PV demand. USA and China are leading the whole demand, especially USA, due to the ITC uncertainties after the end of next year. And China continues with a strong commitment from government with a feed-in-tariff program. There are new tenders for renewal energies and solar in particular, such as 200 megawatt in Egypt or 200 megawatt in Peru, in Latin America, or the rest of [indiscernible] 1 gigawatt tender in Brazil, or even the coming one in Mexico, expected this month of November after the energy reform has been implemented. India also has confirmed an impressive target of 100 gigawatt for 2020 that even if only reach 75 gigawatt it will be impressive. During the third quarter, we further diversified our geographical distribution. In China, we sold over 30% of our megawatt. Over 20% went for North American countries, USA and Canada and also another 20% in emerging markets. Finally, 18% was for the region of Asia Pacific. We once again increased sales and market share in the USA, one of the strongest markets with growing demand in the world. We also increased our position in sales in countries such as Chile, South Africa and Mexico, and in Asia Pacific such as Thailand, Japan and Australia. With the recent government regulations, India looks to be another market with great opportunity. Finally, with Turkey and the Netherlands, we’ve completed the top 10 countries of our sales in Q3. Completing altogether of over 1 gigawatt of sales, a record high in our corporate history and a benchmark for what we believe will be the promising quarters ahead. Thanks to the strong demand, we decided to increase our total 2015 third-party module sales guidance to 3.8 to 4 gigawatt. A world wide increase in demand, our successful diversification of strategy, and our local approach in each of this important market is helping JinkoSolar to increase its [indiscernible] permission, our market share, and grow faster than our competitors. Our sales and marketing strategies continue to pay-off as our business keeps expanding in size and geographic reach. We have made sales in our 50 countries in Q3, and we’ve over 300 existing active customers worldwide in our database. With multiple signed contracts in our pipeline, we expect results to be good for the rest of the year and into 2016. We benefit from a strong increase in core customer portfolio. Shipments and demand for JinkoSolar modules grew faster than previous quarters due to the strong demand from China, USA, and emerging markets such as Chile, South Africa, Mexico, Thailand or Australia. In Q3 we shipped 1,134 megawatts, of which 1,064 megawatt were to the third parties, representing 21% growth from the previous quarter. Throughout 2015 we keep our leading position in Chinese market and is stretching it in the U.S where despite the trade disputes, we’re benefiting from the booming demand and uncertainty in the ITC expiration. Over the first few quarters we’ve made progress in Mexico, or implementation of the energy reform is beginning to show promise for both large scale projects and distributed generation. We are enthusiastic about the first tender expected to begin November 20th. Sales continue to grow in South Africa with the completion of 90 megawatt for our customer Solar Capital, one of the leaders in the past few rounds of the South African public tenders. In the past quarter we delivered approximately 35% of our solar module shipment to China, 22% to the USA, around 8% to Chile, 7% to Thailand and South Africa, and around 6% to Japan, 5% to Mexico and finally 3% to Turkey, and 2% to Netherlands and Australia. We will continue to capitalize on the growing recognition of JinkoSolar’s brand and localized sales and marketing services to expand our market share and diversify our customer and geographic portfolio. We are also succeeding not only in keeping the loyalty from our existing partners, but continue to increase our customer base. The rapid global expansion of our business has provided excellent exposure. For full-year 2015, we’ve been launching different PR campaigns and we plan on further expanding our PR activities, as well as actively attending solar and renewal energy exhibitions and conferences. During Q3, we’ve been sponsoring several events, exhibitions and conference, including the Summer Davos in September, Energy Year in Panama, Intersolar in San Francisco, and PV Japan in Tokyo and in Osaka. Our Chairman Li had the privilege to be invited to the Sino-British Energy Dialogue, held in London during the period of President Xi Jinping [indiscernible] the United Kingdom. We also were invited in Shanghai recently to the Bloomberg Finance Energy -- New Energy Conferences. Next quarter we already have plan to attend over nine exhibitions and conferences across the globe, including Chile, [indiscernible] Cairo, Hanoi and Melbourne. Turning to ASP, our average selling price remains stable despite volatile exchange rates. Our ASP during the quarter was $0.56 per watt on average. It represent only $0.01 lower than the previous quarter. Next quarter we expect to see ASP at stabilized. Now I’d like to turn the call over to Charlie, our CFO, who will go over our financial results and guidance for the fourth quarter and full-year 2015. Thank you very much.
Charlie Cao: Thank you, Arturo. Good morning and evening to everyone on the call. First, I’d like to walk through our financial results for the third quarter of 2015 followed by guidance for the fourth quarter and full-year 2015. As Mr. Chen mentioned earlier, total solar products shipments in the third quarter of 2015 were 1,134.5 megawatts. Total revenues were $637.6 million, an increase of 26.6% sequentially and an increase of 58.2% year-over-year. Gross margin was 21.3% compared to 20.7% in the second quarter of 2015 and 20.6% in the third quarter of 2014. The sequential increase was mainly due to the continued cost reductions of solar modules and the increase of -- in electricity revenues. Income from operations was $60.4 million compared $38.2 million in the second quarter of 2015 and $39.1 million in the third quarter of 2014. Total operating expenses were $75.6 million, an increase of 12.7% sequentially and an increase of 66.5% year-over-year. The sequential increase in operating expenses was mainly due to the increase in shipping and warranty costs associated with the increase of module shipments and stock-based compensation expenses. The Company’s operating expenses excluding stock-based compensation, and the change in provision for doubtful accounts, represented 12.2% of its total revenues, representing an increase from 13.2% sequentially and an increase from 11.5% year-over-year. Operating margin was 9.5% compared to 7.4% in the second quarter of 2015 and 9.4% in the third quarter of last year. Net interest expense was $23 million, an increase of 83.9% sequentially and an increase of 100.2% year-over-year. We recorded an exchange loss of $19.1 million primarily due to unexpected depreciation of RMB against U.S dollars in the third quarter. We recognized a gain of $24.9 million from the change in fair value of convertible senior notes, which was offset by a loss of $7.4 million from the change in fair value of capped call options. We recognized an income tax expense of $5.4 million compared to an income tax benefit of $0.3 million in the second quarter of 2015 and an income tax benefit of $25.1 million during the third quarter of 2014. Net income was $30.7 million compared to $12.3 million in the second quarter of 2015 and $45.7 million in the third quarter of 2014. This translates into basic and diluted earnings per ADS of $1.48 respectively. Non-GAAP net income was $39.8 million compared to $33.4 million in the second quarter of 2015 and $52.5 million in the third quarter of 2014. This translates into non-GAAP basic and diluted earnings per ADS of $1.28 and $1.04, respectively. And now, I’d like to take a quick look at our balance sheet. As of September 30, 2015, the Company had $584.2 million in cash, cash equivalents and restricted cash. As of September 30, 2015, total short-term borrowings including the current portion of long-term bank borrowings were $744 million compared to $657.7 million as of June 30, 2015. Total long-term borrowings were $544.6 million as of September 30, 2015 compared to $344 million as of June 30, 2015. As of September 30, 2015, the Company’s working capital was negative $116.1 million compared to a deficit of $285.4 million as of June 30, 2015. For the fourth quarter of 2015, the Company estimates total solar module shipments to be in the range of 1.4 gigawatts to 1.7 gigawatts, which includes 1.2 gigawatts to 1.4 gigawatts module shipments to third parties. Revenues will not be recognized for the module shipped to its own downstream projects as required by U.S. GAAP. For the full-year 2015, the Company updates the guidance of total solar module shipments to 4.2 gigawatts to 4.5 gigawatts, which includes 3.8 gigawatts to 4 gigawatts module shipments to third parties. The Company expects to grid-connect solar power projects with a total capacity of 600 megawatts to 800 megawatts in 2015. At this moment, we’re happy to take your questions. Operator?
Operator: Thank you very much sir. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Philip Shen from ROTH Capital Partners. Please go ahead sir.
Philip Shen: Hi, guys. Thanks for taking my questions. Apologies if I miss some of the prepared remarks, because I was jumping between calls. But in terms of 2016, to what degree -- I know you have guidance out there, but can you talk about how you see demand developing in 2016? How much of Q1 is booked right now and in what regions -- what kind of mix could we see in 2016?
Charlie Cao: Philip’s 2016 we believe it’s another very strong year for solar sectors. And total global demand is around 65 gigawatts, up 15% to 20%. Tier 1 companies, we believe Jinko is in the best position to catch up more global market share and we’re confident, we can deliver higher growth rate. In terms of the visibility for the first quarter, over 80% capacity was booked for Jinko and for the total 2016 over 50% capacity is what’s booked. The growth I think its driven from the China, United States and other emerging markets including South Africa, Chile, Mexico and maybe Arturo can supplement more.
Arturo Herrero: Yes, thank you Charlie. This is Arturo Herrero. Philip’s mainly after this four years of difficulties in the solar industry, we’re seeing a very strong coming market. We have a very strong visibility for the next coming quarters and this is something that we didn’t expect one year ago. So we’re very, very satisfied about the growth worldwide. The important thing is that Jinko is very diversified in several regions and countries. So we’ve done very good in stepping strongly in the markets like USA, that is the leader right now, because as you know the situation is booming. But also we have been diversifying in markets like Asia Pacific, like Japan. India is very strong as you know because of the big commitments from the government. And then in what we call emerging markets like Chile, Mexico, we’ve already provided the new regulation for the energy reform. And we’re really confident, because right now our customers are demanding more than our current capacity. So in 2016, so far we don’t have enough production to cover all our customers.
Philip Shen: That’s great color, Arturo. Thanks. What you’re seeing if you have that kind of visibility into 2016, how do you see ASPs trending?
Charlie Cao: Okay. In terms of ASP, we believe the price for the key solar markets are pretty stable and in 2016. We believe that ASP is stable and down very slightly in the range of 2% to 4% year-over-year.
Arturo Herrero:
strong. Its still ASP is:
Philip Shen: Okay. Thanks. One more for me. In terms of your Q3 downstream shipments guidance, I think you guys were calling for a 150 to 200 megawatts, but I think you actually shipped 70. So what was the delta there and what happened? Thanks.
Charlie Cao: Yes, its due to the capacity constraints and strong demand from the U.S., emerging markets and the Asia Pacific region. We’ve scheduled some shipments for the downstream from the third quarter to fourth quarter, but we don’t believe any impact on the -- our total project development scale targets in 2016. And we commenced 121 megawatts in the third quarter and reached cumulative 846 megawatts by the end of third quarter in operation and we’re on track to achieve cumulative 1.1 gigawatts to 1.3 gigawatts in operation by the end of this year.
Philip Shen: Okay. Charlie, thank you.
Charlie Cao: Welcome.
Sebastian Liu: Hi, Phil. Do you have more questions?
Operator: We do. Thank you very much. Your next question comes from the line of Patrick Jobin from Credit Suisse. Please go ahead sir.
Patrick Jobin: Hi. Thanks for taking the questions. My first question, I just want to look at Q4 a little bit in more depth. So I’m just trying to reconcile, it looks like the megawatts you shipped into China declined sequentially from Q2 into Q3. I guess, in Q4 it looks like you’re probing [ph] up some inventory for Q4, where do you think mix shift would head towards in Q4? And then, how should we think about that in context of ASP and margins for Q4 specifically? Then I have a follow-up.
Charlie Cao: Sure, sure. You have a couple of questions. I think for the China shipments in the third quarter, you’re right, a little bit lower than the second quarter shipments. It’s due to -- we need to balance our shipments to different regions. If you look at the shipments into the United States, the emerging market, Asia Pacific region in the third quarter, its surging. And we control the shipments in China, in the third quarter, as we schedule some shipments to the fourth quarter. If you look at -- look to the fourth quarter, I think it’s -- we expect the third-party shipments up 20% again and it’s driven from China and United States. And in terms of the gross margin, you’re asking, we expect our gross margin in the fourth quarter will improve quarter-by-quarter. And the ASP, its kind of we’re stable and we expect, its going to be flat. The third quarter the ASP is around $0.56, we believe the fourth quarter is the same.
Patrick Jobin: That’s helpful. And then, I guess the follow-up question not related to the Q4, but the follow-up question is perhaps a suggestion really, could you breakout the debt associated with JinkoPower, so the downstream assets relative to the debt held at the current level for your manufacturing business?
Charlie Cao: Sure, sure.
Patrick Jobin: [Multiple speakers] get a better sense of cash flows from the project? Thanks.
Charlie Cao: Okay. Okay. The debt by the end of third quarter, it’s around $1.6 billion and of which around $600 million is relevant to the JinkoPower. If you look at this year, the total debt that increased for Jinko Group is directly linked to the downstream.
Patrick Jobin: Okay. Thank you very much.
Sebastian Liu: Welcome, Patrick.
Charlie Cao: Thanks.
Operator: We have another question from Scott [indiscernible] Capital. Please go ahead sir.
Unidentified Analyst: Hello, this is Scott from [indiscernible] Capital. Thanks for taking the question. My first question is regarding Jinko’s exchange loss in Q3. I’d like to know how much debt for Jinko is actually foreign currency denominated. And also, do you have a sensitivity analysis on how foreign exchange rate change in Q4 will affect Jinko’s P&L? That’s my first question. Thank you.
Charlie Cao: Sure. Yes, the RMB unexpectedly depreciated by 4% in the third quarter, and the exchange loss resulted from the U.S dollar denominated loss. And by the end of the third quarter, we had around $500 million in denominated loss, including the $270 million convertible bonds and $150 million were issued at the JinkoPower levels. In the fourth quarter, we take further steps and actions to hedge some portions of the U.S denominated loss. And at the same time, if you look at the currency movement, we believe Chinese government has the intention and capabilities to stabilize the RMB currency rate. So we don’t expect significant loss in the fourth quarter again. And on the other hand, I just want to emphasize the RMB depreciation is helpful for the module business, because its export oriented. We have around over 60% export sales, by the cost side it’s almost in RMB, so it will help us to reduce the module cost and improve the gross margin in the future.
Sebastian Liu:
Scott:
Unidentified Analyst: Okay. Thank you, Sebastian and Charlie. My second question is about the ASP by region. Can you share with us actually the ASP by region for the key markets? Thank you.
Charlie Cao: Sure. We believe the price for the key market is quite stable, and China is in the range of $0.53, 0.54 and Japan, $0.55, $0.56 had some kind of currency depreciation. And United States is in the range of $0.63 to $0.65, down were slightly quarter-over-quarter.
Unidentified Analyst: Okay. Thank you. And my …
Charlie Cao: Just to continue with this, even in emerging markets we are at $0.56 per watt, so it’s quite stable. Taking when that into consideration that there is no anti-dumping, there is no taxes for import in most of these countries where we have been doing the sales.
Unidentified Analyst: Okay. Thank you. Can you clarify; the emerging market is $0.56 or $0.66?
Charlie Cao: That’s correct. Yes.
Unidentified Analyst: $0.56?
Charlie Cao: Yes, $0.56.
Unidentified Analyst: Okay. Okay. Thank you. And my last question is about on the spin-off plan of JinkoPower. Are there any updates with the spin-off plan at this moment, and can you share with us the latest progress? Thank you.
Arturo Herrero: Sure. I believe now the U.S. market is not favorable for solar Jinko companies, and we’re closely watching out the capital market conditions. And more importantly, we’re actually looking to the other options including Hong Kong capital market and the Chinese capital market. So far we didn’t make any decisions, but the goal for us is very clear. We will complete the spin-off JinkoPower assets in 2016.
Unidentified Analyst: Thank you. And I just want to ask, for JinkoPower, when do you expect JinkoPower’s capital will be used up so that you need to do one more capital raising [indiscernible]?
Charlie Cao: The current founding is that [indiscernible], cumulative 1.4 gigawatts projects development, we expect that we will complete the scale -- cumulative 1.4 gigawatts first half year of 2016. So now we’re still evaluating our 2016 plan based on our operational status and options of financing. So we plan to disclose our 2016 project development scale in the next quarter’s earnings release.
Unidentified Analyst: All right. Thank you. Thanks a lot.
Sebastian Liu: Thank you, Scott.
Operator: Your next question comes from Yang Liao from Goldman Sachs. Please go ahead.
Yang Liao: Thank you and congratulations on the strong quarter. I just want to expand about management’s thoughts around 2016 demand given U.S ITC will be expiring. Do you think that demand will -- global demand will go down or is it flat? And also about your capacity expansion plan since most of the capacity has been booked, so we’ll be building our own capacities or leverage it on OEM? Thank you.
Arturo Herrero: Sure. I think we just emphasized 2016 is very strong for the solar sector, and you’re right, for the Tier 1 companies -- all companies are facing capacity constraints. We believe the global market demand is 15% to 20%, and for Jinko well we’re confident that we can deliver over 30% year-over-year growth in terms of the third-party shipments. For the capacity expansion by the end of the third quarter, we had 3 gigawatts for wafer, 2.5 gigawatts for cell and 4 gigawatts for solar modules. And we plan to adopt a disciplined capacity expansion approach in 2016, which means we will continue to expand the module capacity to catch up the high growth and demand in 2016 while being relatively conservative on wafer and the cell side. And for the wafer, we plan to increase the capacity from 3 gigawatts to 3.3 gigawatts by upgrading existing equipments. For the cell capacity we plan to increase from 2.5 gigawatts to 3 gigawatts. For module, our plan is to increase from 4 gigawatts to 5.3 gigawatts. All the capacity expansion will be completed in first quarter 2016.
Yang Liao: Thank you very much. And for the module capacity adding, it will be in China mainly or [indiscernible]?
Arturo Herrero: Wafer capacity is in China, and for cell and module capacity we’re considering both China and oversea market, and we’re still evaluating and we plan to disclose in the next quarter earnings release for the detailed capacity allocations between China and the oversea markets.
Yang Liao: Sure.
Sebastian Liu: But generally speaking probably China will be -- most of the capacity expansion will be in China.
Yang Liao: I see. Just to confirm, its 5.3 gigawatts in the first quarter for module, right?
Arturo Herrero: In the first half of the year 2016, 5.3 gigawatts.
Yang Liao: Sure. Thank you. And my next question is about cost reduction roadmap. Previously as guided, every quarter will be reduced by $0.01, what about maybe long-term, maybe in 2016 given the potential lowering in feed-in-tariff over the years is there a company guidance for the cost reduction as well? Thank you.
Charlie Cao: In terms of cost reduction, we’re still on the track to reduce our module cost. The third quarter, the in-house module cost was $0.41 improved $0.01 quarter-over-quarter, and we are targeting to achieve $0.40 in-house module cost by the end of this year. And next year in 2016 and our target is to cut the non-silicon in-house module cost by 5% to 8% again.
Yang Liao: Thank you. And my last question is about downstream the subsidy catalogue. Last quarter remember 100 megawatts was on the catalogue. I’m wondering if there’s any update, and will the subsidy payment issue impact our decision for the downstream next year development? Thank you.
Arturo Herrero: Okay. We are still waiting for the approval, subsidy catalogue. And I think the [indiscernible] is the key for China in the next five-year plan and National Energy Administration has showed strong commitment to resolve the issue as quickly as possible in recent meetings. And I think you understand [indiscernible] plan for the next five-year feed-in-tariff reductions, we believe it’s positive. The new policies will help the government to have the visibility towards the total scale of feed-in-tariff in the next five years and the next step is and the RC [ph] is planning to increase the renewable surcharge and accelerate, approve the next round of subsidy catalogue by the end of this year or in the first quarter of 2016.
Sebastian Liu: Just one thing to add, you can see Chinese government -- this is Sebastian, you can see Chinese government is cutting the interest rate. So that means that the regulation of our downstream project is increasing. We always see that -- this trend from the market. So that’s a very good sign for us.
Arturo Herrero: Yes, the continued downstream solar assets cost reduction and plus the interest cut helped to lift the solar project returns, but did some sensitivity analysis. If the interest rate is cut by 1% the IRR which leverage for the solar assets in China will increase by 1.6%.
Yang Liao: Thank you. And the leverage -- current level of leverage IRR is about which level?
Arturo Herrero: 15% to 18%. Yes.
Sebastian Liu: 15% to 18%.
Yang Liao: Thank you very much.
Arturo Herrero: You are welcome.
Operator: Your next question comes from the line of Gordon Johnson from Axiom Capital. Please go ahead.
Gordon Johnson: Thanks for taking my question. I guess my question centers on, you guys -- I guess more of a theoretical question, you guys invested a lot over the years in building projects and I’d just like to know, year-to-date how much of those projects that you guys have invested in have you sold year-to-date and in aggregate? And then I have a follow-up question.
Arturo Herrero: So you’re talking about the downstream projects, constructions?
Gordon Johnson: Yes. That is correct.
Sebastian Liu: Yes. Gordon, as you know -- yes, this is Sebastian, Gordon. As you know we never plan to sell this project. In fact we got lots of offers from the market, but our plan is to hold them as independent IPP Company. So, so far we don’t sell any of them.
Gordon Johnson: Okay. So with that said, are you guys seeing continued issues with respect to cash collection given that as we all know that there’s been some issues with the curtailment as well as payments from the government?
Arturo Herrero: The curtailment is not an issue for JinkoSolar. If you look at the -- I know you’ll see some statistics. China [indiscernible] 10% solar capacities in the first five months, but over 90% is in the -- in guidance to on the Xinjiang province. We shifted our focus from the west region to the east and south China. So exposure to curtailment for JinkoPower is not an issue. For the feed-in-tariff payment well we’re confident and if you look at the government, what they’re saying is, they’re trying to resolve the issues as quickly as possible. So we believe that the government will approve the next month subsidy catalogue in the near future.
Gordon Johnson: Okay. That’s helpful. And then we’re listening to a lot of the reports and call from solar -- Chinese solar companies that are coming out and we see a wave of capacity expansions from pretty much everyone including you guys to start next year. Clearly China is cutting -- there’s some issues or concerns rather with respect to installations in Japan and maybe the ITC cut in the U.S. starts to affect installations at some point next year. Do you guys see any risk that capacity expansions of module capacity specifically could push the market back into oversupply in the first half of ’16? And then one last question?
Arturo Herrero: This is Arturo Herrero the CSO. Answering your question, yes, let me first clarify that the ITC uncertainty will not happen until the end of next year, because this is until December that they will be stable. So next year is a huge market in the USA. The other thing is Japan, even if this goal is slightly down and still the market is strong and it would keep strong despite the reduction on the feed-in-tariff is one of the most generous countries in terms of feed-in-tariff and subsidies. But besides these two countries there are many other countries that before they were not in our portfolio, in our scope and now we’re seeing that the demand is becoming very important. One example as we said is Asian Pacific countries like Thailand where we have been selling a lot. India is becoming very strong with 100 gigawatts of target by 2020 commitment from the government. Then we have the markets like Mexico that after the implementation of the energy reform is becoming very strong market. And then there is market’s that is smaller in terms of size but altogether makes a big huge demand and is stable in the next 2017 and 2018 and I’m referring to emerging markets in Middle East. I’m referring to Egypt, [indiscernible] started. They have started with 200 megawatt of tender. I’m referring to UAE. I’m referring to Jordan that is also becoming very strong. And then you need to look at African countries where they have a big shortage of demand of -- supply of energy I mean. They have demand, but they have a big shortage and blackouts like happened recently in South Africa. So they are really in a huge need of energy. So we believe that the expansion of JinkoSolar that is very rational, and in fact we don’t have enough production. I was pushing our Chairman, where all of our regions were pushing our Board to try to increase production capacity and we are doing it very rational, very careful.
Gordon Johnson: Okay. And then one last question, clearly as you guys know polysilicon prices have been under pressure. However just this week polysilicon prices were down 2.1% week-over-week or nearly 65% annualized. Polysilicon prices are in free fall, yet other sub-straight prices have been resilient. Historically polysilicon price declines lead other price declines. Could you guys help us understand why polysilicon prices are under such pressure from your standpoint, yet you’re not seeing that yet or maybe in your view at all in other sub-straight solar prices. Thanks for the questions and congrats on a good quarter.
Charlie Cao: Thank you, sure. I think you’re right; the polysilicon price is down slightly while the wafer and cell price improved 2% to 3%. I think its kind of supply and demand situation. If you look at the polysilicon supply it’s a little bit oversupplied, but for the wafer and cell capacity, its very tied, so the prices -- we expect that wafer and the cell price improved, but will be stabilized.
Gordon Johnson: Thank you.
Sebastian Liu: Thank you.
Operator: Your next question comes from Shen Zhong from Morgan Stanley. Please go ahead.
Shen Zhong: For my question, sorry that I lost connection for a while, so if this has been asked. So just I want to follow-up the polysilicon price as the polysilicon price actually dropped significantly, but your polysilicon price is stable in this quarter versus last quarter. So what reason and do you think there was any [indiscernible] potential in the next quarter maybe?
Charlie Cao: Yes. I think our purchase price is down quarter-over-quarter and third quarter our average polysilicon price it’s around $15.5 compared to the second quarter its $16. And now the polysilicon price is $15 or even below the $15.
Shen Zhong: Okay. So we should think there was some polysilicon cost reduction maybe in fourth quarter as well?
Charlie Cao: Yes, I think so. Yes.
Shen Zhong: Thank you. And actually in September you got RMB10 billion loan credit from ICBC. So as Mr. Chen already introduced that it will be mainly for the downstream projects. So, is there any criteria for the money usage, and if this money can be used on your capacity expansion?
Charlie Cao: The RMB10 billion is kind of strategic agreement between JinkoPower and the ICBC Jiangxi branch and we’re working with ICBC for the projects we are developing. And I think under the current arrangement the credit line cannot be used for capacity expansion.
Sebastian Liu: Hi, Shen, this is Sebastian. So first you’ll have to understand that this agreement is between JinkoPower and ICBC, that means that cannot -- definitely cannot be used for the JinkoSolar’s capacity expansion. Second, I don’t think -- so-called criteria for the -- for Jordan of that capital, but now its -- it’s an agreement, it’s a strategic agreement. So that means it’s a credit line, so it’s case-by-case. Once you have the project, then you apply for that -- project allowance or [indiscernible] allowance. They can offer us different types of initial product, not only the long-term project allowance, but also like I said working capital is for JinkoPower and also the [indiscernible].
Charlie Cao: And the financing involvement for Tier 1 module makers, I think it’s very favorable. If you look at our track record, first half year we expanded Malaysian factories, and second quarter when the facility is up to full capacities we closed the -- our project allowance for the capacity expansion with Chinese import and export bank. So we have tons of options to finance our capacity expansion in 2016.
Shen Zhong: Understand. That’s very helpful. And the last question is about, on the -- actually I want to understand little more about our working capital plus the account receivable -- firstly, maybe account receivable, how much is from the electricity? And if I rate across the account receivable and the prepayment, it’s all increased. But at the same time our -- the advances from customer also increased significantly. So, I [indiscernible] understand what the payment term currently is in the industry. So can you please give some color on this?
Charlie Cao: If you look at the accounts receivable from third party, it was around $540 million by the end of third quarter, of which around $98.6 [ph] million is related to the downstream solar power in especially the revenues. Actually if you look at our turnover it improved a lot quarter-over-quarter. Our DSO has improved to 95 days compared to the second quarter its 110 days. And another [indiscernible] is the ones from customer. You’re right, China because of strong demand the payment term is forever favorable, and typically for the China arrangements we record 30% to 40% down payment for shipment, and upon shipments another 30%, and upon receipt by the customer we get the remaining part. So that is why the advance from customer increased a lot in third quarter. At the same time accounts receivable is down and the DSO improved.
Shen Zhong: Okay.
Arturo Herrero: As Charlie said, you can see our DSO improved a lot. I think that’s the most important index we should focus on. Its not only in the [indiscernible] -- the total months.
Shen Zhong: Yes, sure. Thanks. That’s it for me. Thank you.
Sebastian Liu: Thank you, Shen.
Operator: There are no further questions at this time. Mr. Liu, please continue. Thank you.
Sebastian Liu: Okay. So on behalf of the entire JinkoSolar’s management team, I want to thank you for your interest and participation on this call. If you have any further questions or concerns, please feel free to contact us. Have a good day or good evening. Thank you and good bye.